Operator: Greetings. Welcome to the Intellicheck First Quarter 2024 Earnings Call. [Operator Instructions] Please note this conference is being recorded. 
 I will now turn the conference over to your host. Gar Jackson? You may begin. 
Gar Jackson: Thank you, operator. Good afternoon, and thank you for joining us today for the Intellicheck First Quarter 2024 Earnings Call. 
 Before we get started, I will take a few minutes to read the forward-looking statement. Certain statements in this conference call constitute forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995 as amended. When used in this conference call, words such as will, believe, expect, anticipate, encourage and similar expressions as they relate to the company or its management as well as assumptions made by and information currently available to the company's management, identify forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. These forward-looking statements are based on management's current expectations and beliefs about future events. 
 As with any projection or forecast, they are inherently susceptible to uncertainty and changes in circumstances, and the company undertakes no obligation to and expressly disclaims any obligation to update or alter its forward-looking statements whether resulting from such changes, new information, subsequent events or otherwise. Additional information concerning forward-looking statements is contained under the headings of Safe Harbor Statement and Risk Factors listed from time to time in the company's filings with the Securities and Exchange Commission. 
 Statements made on today's call are as of today, May 13, 2024. Management will use the financial term adjusted EBITDA in today's call. Please refer to the company's press release issued this afternoon for further definition, reconciliation and context for the use of this term. 
 We will begin today's call with Bryan Lewis, Intellicheck's Chief Executive Officer; and then Jeff Ishmael, Intellicheck's Chief Operating Officer and Chief Financial Officer, who will discuss the first quarter financial results. Following their prepared remarks, we will take questions from our analysts and institutional investors. 
 Today's call will be limited to 1 hour, and I will now turn the call over to Bryan. 
Bryan Lewis: Thanks, Gar, and thank you all for joining us today for the Intellicheck Q1 2024 Earnings Call. One of the areas Jeff and I have been emphasizing in previous calls and meetings is improved EBITDA, and we delivered on that objective with adjusted EBITDA positive results last year. We also continue to deliver on our trailing 12-month growth progression in SaaS revenues each month that saw improvement in both our Q1 adjusted EBITDA results and our net income and earnings per share results versus the prior year. Given our growth expectations and our margin structure, we anticipate that we will end 2024 both net income and adjusted EBITDA positive.
 Before I get into some of the wins and recap some highlights from the first quarter, I'm going to begin with the evolving market for ID authentication. The landscape of the market for identity verification is evolving against the backdrop of a growing sense of urgency that is being fueled by across the board incidents of identity theft and fraud. This has led to a significant new focus on security and the consumers' users experience as businesses in every market vertical are feeling the effect of identity theft and fraud. Consumers are sending a clear message to businesses of every size in every market vertical. They want better protection. They do not want to be burdened with time-consuming, arduous processes to get that protection and they will take their business elsewhere if they do not get what they want in a user-friendly process. 
 This heightened concern across market sectors is being driven by the dramatic growth of incidents of identity fraud. The data is compelling. According to Javelin Research, identity thefts increased 13% in 2023 with losses of $23 billion, impacting 15 million people. Account takeover increased 15% to $13 billion and losses to businesses where this happens are long term, 26% of people avoid merchants where their identity has been stolen and 20% close their account. We see this in every sector of the market. Why is it so prevalent and increasing? because it's so easy to steal someone's identity data breaches have led to more than 353 million people in the U.S. seeing their personally identifiable information compromised. 
 The recent UnitedHealthcare breach as [indiscernible] estimated 1/3 of all Americans. The recent AT&T breach exposed 73 million people. This data does not cost much to buy on the dark web. The price tag is about $20. Fake ID is so good that even law enforcement officers say are virtually impossible to visually detect cost only $40 in bulk. So for about $60, someone can become you and can easily steal your identity. Again, we see it in every sector, loans, bank accounts, housing and social media. 
 Looking at 2 of the market sectors where we are active should give you a good picture of why our products are so valuable. A significant number of real estate professionals in the U.S. reported they were faced with seller impersonation fraud challenges and a number of these fraudulent efforts skyrocketed in 2023. Seller impersonation fraud involves bad actors using publicly available records and information to pose as the legitimate owner of a property in an attempt to illegally sell it. Our clients in this space tell us incidence of this nature have emerged as the foremost cause for a launch in the industry. 
 In the automobile industry, concern over identity fraud as well due to surging incidents that have had a direct bearing on dealership revenues and profits. An ELAN study based on interviews with more than 700 dealerships found 79% of automotive dealerships had an identity fraud related loss last year. 60% of those participating in the study reported they had costly losses of at least 3 vehicles to identity fraud. I can continue at length given the pervasive nature of identity theft and fraud and the ever-increasing reported incidence of credit card fraud, bank fraud, loan or lease fraud, employment fraud and phone and other utility fraud that further defines this spiraling problem, but these 2 examples highlight the increasing need for rapid frictionless and accurate identity verification. 
 As you will see from our efforts on several fronts, we intend to continue to capitalize on the need for consumer engaging solutions with our distinctive affordable technology solutions that define and differentiate Intellicheck from other would-be solution providers. As we have been discussing with you an important part of our effort to build awareness of our technology solutions is our growing slate of marketing initiatives. 
 Our new VP of Marketing, Christine Elson, is moving forward in collaboration with our SVP of Sales, Chris Meyer, to develop new tools to support our sales team. In February, a new sales presentation rolled out that clarifies our messaging and highlights the Intelligent difference. We have also relaunched our website to further refine the messaging of our consumer-focused approach to identity validation. Together, Chris and Christine are also working on a lead generation plan that emphasizes securing new accounts and expanding the relationship with existing clients. These initiatives will build on our foundation of sales support materials and initiatives as Chris continues his efforts to enhance the sales team with seasoned sales professionals. As we have said previously, we expect to continue to concentrate on recruiting new talent as we execute our plan for growth and market penetration across key verticals. 
 Sales and marketing are also continuing to assess transfer opportunities that allow us to further invest our marketing funds to expand market awareness and our important market verticals. Next up is our participation at Innovate Spring. This annual trade show focuses on fintech innovators, bringing together senior attendees that include representatives from more than 600 banks. Our participation also includes a speaking presentation from me on May 21 as well as a 10-minute interview video, which will allow further reach into this meaningful market vertical demographic. [indiscernible] will promote the video on their block page, social media channels and stream link. We will also be using our social media channels to promote Intellicheck's presence at the trade show and a 10-minute video. As we continue to expand our marketing investment and trade show opportunities, we will be keeping you updated on our progress. 
 Another sales focused effort is our public private partnership program. As you saw in our recent announcement of our partnership with the City of Clemson, South Carolina, we are continuing to replicate our successes in partnering with municipalities to address the problems that negatively influence the economic health, quality of life and individual safety stemming from sophisticated bake IDs. We issued a press release and held a press conference with the Mayor, Chief of Police, the State Law Enforcement Division Clemson University and members of the Economic Advisory Committee and City Council member as well as some of the participating business owners to launch the latest new pilot program aimed at tackling the problem of underage drinking. 
 We are very pleased that every media outlet in the market attended the press conference on the launch of the 12-month pilot program that is initially being underwritten by the city of Clemson. Participating area businesses are now using the same Intellicheck technology solution that is already being used by the city of Clemson Police Department and some area of businesses that are early adopters of our technology solutions. The pilot program will allow 15 area bars, convenience stores, liquor stores and a local hotel to use Intellicheck's identity verification mobile technology solution. I want to point out that the police chief Jorge Campos appeared before the city counts on more than one occasion and was a leading proponent of the program because of the police department's overwhelmingly positive experience in using our technology. 
 During the press conference, we also highlighted the often overlooked problem that also endangers young people when they purchase fake IDs, that goes beyond giving young people access to alcohol, the personal information that photos young people provide to purchase these high-tech fake IDs set them up for identity theft and fraud. Far too often, these young people suffer financial devastation as fraudsters use that personally identifiable information to open credit accounts, take out loans, purchase automobiles and real estate. The resulting defaults on payments victimize these unsuspecting kids who find out the hard way that their credit has been compromised and destroyed. 
 So far, the numbers demonstrate the seriousness of this problem. Just over 1% of ID scanned in Clemson by participating businesses have been expired. Often in older sibling, giving their old ID to their younger sibling. 13% have been outright fakes. Think about that. about 14% of the IDs check were fake IDs to underage kids for using looking to purchase alcohol. And a final note on the press conference. Clemson police chief Campos pointed out what we know to be true. It's not just a local problem, it's a statewide problem, and that problem is not just a South Carolina problem. This is why we are continuing our efforts to educate states as to the scope of the problem and the need to support the adoption of effective solutions. As you may remember, our first program in this nature was the pilot project with the City of Charleston, South Carolina. 
 The pilot was supported by the city and Explore Charleston, the Charleston Area Convention and Visitors Bureau, allowing more than 30 downtown businesses to use Intellicheck's ID verification program in an effort to eliminate underage drinking and make the central business district a safer place for students, residents and visitors. What started the pilot program has proven to be so successful that the city has made this public private partnership with Intellicheck and Downtown businesses a permanent program. 
 Given the success of both of these initiatives, we've been approached by foundations, lawyers and lobbyists to see what can be done to expand this program across the state of South Carolina. We've also been receiving inquiries from other cities in other states with similar issues. Another important development represents a new client and with them a new opportunity to reach educational institutions with an application for our technology that goes beyond preventing young people from using fake IDs to access age-restricted products like alcohol. We have just signed a university that will be using Intellicheck's technology to tackle financial aid fraud. As we discussed last call, we're beginning to move to a model that has customers commit to a set monthly minimum versus buying a bucket of transactions. And again, as we said, this will help us to be able to give you more concrete numbers, including ACV signed. This is one of the first new clients signed under this new pricing model. as we sign more clients under this model, our plan is to begin to provide those stats. 
 In this use case, bad actors present themselves as would be students in need of student loans to be able to obtain their education. Once the funds are awarded, these sponsors disappear and with them precious financial resources. This is what we intend to stop. Recent data from California community colleges underscores the magnitude of the problem for federal [indiscernible] Grants alone. A California Community College Chancellor's office study stated that an alarming 25% of applications were fraudulent. This problem they reported also extends to state and local aid. This is a developing market opportunity that we look forward to continuing to explore to drive adoption of our technology. We have a pilot program that is starting this month with a technology-enabled consumer credit program that services underserved customers for its clients, both in-store and online. This flexible technology platform provides a loan decision to consumers within seconds across multiple market and verticals, including automotive, health care and credit card applications. Our ID verification solutions fit well into this digital platform. 
 We're also looking to gain share in the lease-to-own space. In Q1, we signed a top 3 lease-own provider who is starting a pilot this month. This omnichannel platform company is committed to elevating financial opportunities for customers through innovative, inclusive and technology-driven financial solutions that address the evolving needs and aspirations of consumers. 
 As we turn to our updates on other programs, I'm pleased to report that Financial Services Company #2, one of our largest clients in the retail credit card space is bringing live a retailer they just brought on board. The retail is a prominent luxury department store chain with approximately 100 locations. It is reassuring to see one of our top accounts continue to bring us new clients. This is yet one more validation of the strength of this partnership and their understanding of the value we contribute. Financial services company #3, to whom we sold the hardware for their teller workstations a few years ago. remains on target for new branch use cases. We expect they will start generating incremental revenue within the next 100 days. Additionally, there are 2,200 locations home, garden and farm chain is still anticipated to go live by the end of the year. 
 Another new use case is one that we believe could hold strong promise going forward. The focus on this use case is for unintended liquor sales in hotels. A growing number of hotels have expanded the availability of liquor sales to include key card controlled entry into an area where alcoholic beverages are made available to hotel guests. Young people are using the room key card to gain access to the alcoholic beverages in what hotels thought would be secured rooms. In this third-party application, a hotel group received their production keys last week and will be starting a pilot program shortly. 
 We are also seeing progress with the international social media company that we signed a few years ago. This client is now doing ID verification in multiple countries, and they are soon launching a project that have all of their U.S. e-mail users re-authenticate themselves over the course of 2 to 3 months. Although e-mail is not their primary business, we believe this onetime project serves to further our partnership and demonstrate the many ways Intellicheck can provide valuable solutions to their needs. 
 In another use case, we are eagerly anticipating next week's go live to the wire fraud company we spoke of on the last call. Wire fraud continues to be a significant concern amongst consumers with devastating consequences to those who become victims of this rapidly growing crime. This client will be using our technology to authenticate users in a wire transfer. We are also seeing growth trajectory for our regional banks as they continue to grow with a 1,200 location bank customer looking to negotiate a longer-term contract that we anticipate will close in the third quarter. In addition, the larger of our regional bank customers has launched the second of several use cases that now allows customers to start an application from their web browser, previously and how we started from a mobile device. 
 The web browser use case has significantly higher volumes than the mobile use case. Later this month, we will look to be up and running with the first ID and credential verification app that is designed specifically for transport and logistics drivers. This is yet another exciting new application and fits into our vision of confirming that a person you are dealing with is, in fact, who they say they are. 
 Things are also going well with our real estate platform clients. The software provider we spoke about earlier is beginning their rollout later this week, and they intend to have us fully integrated into their new infrastructure later this month. As I spoke about earlier, the real estate industry had significant issues with fraud, and we want to be there to help prevent it in with this very important vertical. In closing on this partial pipeline update, the top 3 bank we have spoken of in the past continues to indicate they will be up and running with their digital use cases in the fourth quarter of this year. As you have seen, we remain alert to how long these things tend to take when working with a very large institution, and we've continued to keep you posted. We believe this would be a significant revenue generator for 2025 and beyond and upon full implementation will be a top 5 customer. 
 I will now turn the call over to Jeff for further discussion about our Q1 results. 
Jeffrey Ishmael: Thank you, Bryan. I'm pleased with the continued progress we've been making throughout the organization as we continue our efforts to recalibrate our spend and redistribute investment into the areas that we believe will fuel our growth and profitability.
 Our first quarter revenues were 10% higher versus the prior year. We continue to report a higher average price per scan versus the prior year and we continue to improve both our adjusted EBITDA results for the first quarter and our net income and earnings per share versus the prior year. As Bryan mentioned earlier, we're pleased to see the continued trailing 12-month growth progression in SaaS revenues each month which we have achieved since we introduced this metric in January of 2020. Continuing to cast a critical eye to the metrics of our SaaS revenue, it's encouraging to see an 18% increase in our average price per scan versus the prior year as we have largely completed rightsizing the pricing of our legacy accounts and force internal disciplines on CPI increases and sign new customers at higher rates than we have traditionally executed. We continue to be encouraged by the improvement in this metric as it continues to speak to the testament of value realized by our new and existing customers. 
 We are also continuing to maintain our focus on our operating expenses to ensure that we achieve the expected return on our investments in this area. Within the Q1 period, we continue to realize the benefits of our 2023 restructuring efforts and the subsequent improvement in our year-over-year adjusted EBITDA results. 
 Turning now to our first quarter results. Revenue for the first quarter of 2024 increased 10% to $4,680,000 compared to $4,254,000 in the same period of 2022. Our SaaS revenue for the first quarter of 2024 grew 9% to $4,608,000 from $4,228,000 during the same period of 2023 and represented 98% of our first quarter revenue. Gross profit as a percentage of revenues was in line with our expectations at 90.7% for the first quarter of 2024 compared to 92.2% for the same period of 2023. The nominal decrease is within our previously discussed range of 90% to 91% and is reflective of our continued rearchitecture efforts as we incur planned overlap in our cloud expense fees. Our product team has demonstrated that we can maintain reoccurring margins of over 90% as the rearchitecture progresses. That being said, we'll continue to scrutinize our cost structure with the goal to maintain or improve upon that level. 
 Operating expenses, which consist of selling, general and administrative, marketing and research and development expenses decreased $531,000 or 10% to $4,770,000 for the first quarter of 2024 compared to $5,301,000 for the same period of 2023. We included within operating expenses for the first quarter of 2024 and 2023 with $334,000 and $682,000, respectively, of noncash equity compensation expense. Within the first quarter, we recognized $609,000 in software capitalization tied to our rearchitecture efforts. While this was higher than our prior guidance, we still showed tremendous progress leveraging our operating expenses against revenues, driven by the product team supporting multiple implementation projects as well as tight expense controls, we leaned heavier on external consultants to accelerate our rearchitecture efforts. 
 On a constant basis, adding back in our capitalized software expenses, our operating expenses as a percentage of revenues decreased about 810 basis points against the same period of 2023, resulting in $379,000 in leverage improvement. As discussed on our last call, we expect our total noncash expenses will continue to decrease and comprise approximately 10% of our operating expenses with stock-based compensation comprising 90% of that figure. This compares to our prior historical trend of 13% to 15%. 
 Turning to net income and adjusted EBITDA. The company's net income improved by $945,000 to a net loss of $442,000 for the first quarter of 2024 compared to a net loss of $1,387,000 for the same period of 2023. Net loss per diluted share for the first quarter of 2024 improved by $0.05 to a net loss of $0.02 per diluted share compared to a net loss of $0.07 per diluted share for the same period of 2023. The weighted average diluted common shares were $19.4 million for the first quarter of 2024 compared to $19.2 million for the same period of 2023. Adjusted EBITDA for the first quarter of 2024 increased by $441,000 or 79%, resulting in a net loss of $117,000 compared to a net loss of $558,000 for the same period of 2023. 
 Our balance sheet remains strong, and we finished the first quarter with $9.2 million in cash and short-term investments. We also continue to ensure we are properly managing our cash reserves which generated $69,000 in interest income during the first quarter versus $3,000 in the same period of 2023. 
 Turning now to the progress on our internal initiatives 2024 represents a year of execution as we will continue to pivot off our 2023 restructuring effort and deploy our spend into meaningful marketing and brand initiatives that we believe will drive top line revenue. As we have previously discussed, we are executing on a material shift in our expenses where we have taken previously allocated G&A spend and moved that into support for trade shows, regional conferences and other brand initiatives. With the hire of Christine Nelson as our VP of Marketing in January, it took only a handful of weeks to start implementing a 2024 blueprint for targeted trade shows. As Bryan discussed, through quick strike efforts across the team, we managed to attend 2 trade shows in the first quarter, and we have 4 more trade shows in the calendar for the second quarter. This is a key call out as a company outside of targeted meetings did not have a physical presence at any trade show since prior to COVID. Planning efforts by the team have our sales department attending a number of key events in the second half of the year as well. 
 Turning to our R&D expenses. We are expecting our R&D expense to continue to decrease year-over-year during the second quarter as we continue the capitalization of our rearchitecture efforts. For 2024, we expect our R&D will comprise no more than 18% to 20% of our operating expenses moving forward, which compares to approximately 30% during the 2020 and 2022 period, which then subsequently reduced to approximately 22% in 2023. This change in spend composition is not resulting in a compromised product platform, the one that is stronger through the rearchitecture efforts of Jonathan and the product team as well as the bolstering of our data science efforts which we believe will result in a higher level of service and reporting for our customers. 
 Overall, we expect to continue seeing significant leverage increases in our OpEx spend against our anticipated growth in 2024, while we are significantly increasing program spend on the sales and marketing side of the business to drive top line revenues. We believe we are properly structured in our head count and expect a 2024 year-end head count that will be approximately equal to the head count we finished with in 2022. We believe that we now have a significantly higher caliber team that has the financial support and data analytics to drive the growth that we expect this brand should be able to achieve. 
 As mentioned in the earlier remarks, we continue to improve our cost structure, which when adjusted for the previously mentioned software capitalization decreased by 810 basis points as a percentage of revenues versus the same period of 2023, while revenue increased 10%. This result is consistent with our focus on bringing down our operating expenses as a percentage of revenues, which averaged 135% of our SaaS revenues during the 2020 to 2022 period. We remain committed to improving our adjusted EBITDA results for the year, a commitment which we exceeded last year and now puts us in a position to start moving our results into a more positive position for 2024. As discussed on our last call, improved adjusted EBITDA results for 2024 will be combined -- will be the combined discipline of executing on our revenue plans, ensuring consistency in our gross margins and holding all the team accountable to their 2024 operating budgets. 
 During the prior quarter, we also discussed the early efforts regarding the formalization of our channel partner program, and I'm happy with the results that we are seeing. Since the beginning of the year, we have finalized agreements with 8 partners and are close to signing on the 9th. In parallel with bringing these new partners on board, we are walking our first deals through the portal registration process and working through deal registration acceptance. These new partners include identity access management platforms, hardware OEMs as well as an expansion of our real estate and automotive partnerships, which Chris had originally started cultivating. David is aggressively working for the partnerships with recognized hardware companies to increase our technology partner ecosystem with a little tailwind, it's not unreasonable to think that our current partner count can double by fall. Once the channel partner foundation is built, David will fully focus his efforts on deal registration, pipeline growth and achieving its bookings quota for 2024 that will drive future growth. 
 In consideration to our 2024 outlook, we expect to see gross margins of approximately 90% to 91%, while we continue to improve our architecture and data intelligence capabilities. We also expect to see continued leverage in our operating expenses as a result of the expense initiatives we implemented in 2023. As previously discussed, we expect the noncash component of our spend to decrease by 400 to 500 basis points versus 2023 with 90% of that being total stock-based compensation. In closing, we remain committed to the continued improvement of our corporate performance maintaining our strong balance sheet and driving shareholder value. We look forward to sharing our Q2 results with you in August. 
 I'll now turn the call back to Bryan for closing remarks. 
Bryan Lewis: As we approach the midway point of 2024, we believe there is opportunity for growth on multiple fronts, including existing customers, new customers and with additional use cases. What we anticipate will prove to be one of our largest customers who had expected to go live in April has pushed back on their timing. The delay is for good reason. We have made the decision to integrate Intellicheck's technology into other internal systems as well before going live with us. We anticipate having additional color on this large opportunity over the next few months. In closing, I would like to point out what continues to distinguish Intellicheck from others with the identity verification solution providers. .
 We believe our easy-to-use accurate and consumer-focused identity platform provides quick and easy onboarding and the immediate elimination of fraud better than any other. As new verticals and new use cases seem to sprout up each quarter, they may be new verticals, but the clients come to us for the same reason. They need to stop someone from using another person stolen personally identifiable information, whether that be for financial gain or to gain access to something they shouldn't. Our products are easy to integrate, easy to use and stop all of the above.
 Operator, you can open up the call for questions. 
Operator: [Operator Instructions] Our first question comes from the line of Daniel Hibshman with Craig-Hallum Capital Group. 
Daniel Hibshman: This is Daniel on for Jeff Van Rhee. Just on the retailer behavior during the quarter, the last quarter, there has been significant discussion to some of your larger retailers had volumes down. I think about year-over-year, some of them. And for some of them, you were seeing some declines steepening into Q1. What do you think order here in Q1? And what are you so far leading into Q2? 
Bryan Lewis: So I'd say they're coming back a little. Again, just like last time, there are some retailers, depends on, I think, who they are, what their strategy is and how they're executing. We've got some retailers who are up and then some who are down. I tend to look at the same group of large retailers each quarter. So I know that I'm looking at the same numbers. And they're off about 10% in Q1 compared to Q1 of last year. But again, that's because I think some of the retailers who you'll read about it, right? They're having their own internal issues, having management changes, moving things around or off more than some of the other retailers who I think are doing quite well and are up significantly. .
 It's just -- it depends on the size of the retailer. So overall, about 10% off. Again, one of the reasons that we are looking to move into other verticals. But I also said the other thing is I'm not so worried about retail because it will come back. It always does. And the other thing is it allows us -- as we start to think about where we want to go as a company and think about the amount of data that we see and the relying parts that we have, where we are located I think that we're probably in more locations with more data than anybody else is really trying to get into the identity space in North America. So to me, having those retailers giving us access to the data that our customers find value and we think will provide lots of value as hopefully, we can create the consortium that we've been talking about with our current customers to pool data and provide more information back to those customers. . 
Daniel Hibshman: And then just on the price per scan, that was quite strong this quarter. I think you said 18% up year-over-year this quarter, I think it was 16% last quarter. So an uptick there. I think we've been talking for a long time now about nearing the completion of the migration from legacy pricing. And it seems to be continue to see -- even though that's been discussed for a long time, how do you expect pricing to ramp through the year? Do you think you can see similar levels of appreciation through the year? Should we expecting deceleration there? And just maybe a little bit of color on why the transition is going on so long. And if there's -- if there's any more customers to move on that? 
Bryan Lewis: Well, I think the mistake that people are thinking is that the change in price is purely a change in price at renewal and price increases there, right? You can look at it 2 ways. There's a renewal, we raise your price. There's also new clients coming on board at higher prices than previous. So that is something that will make those part of the increase, right, 18% up. Part of that is we are bringing on all new clients at higher rates than the historical average. So I think we've got -- we're learning more. We're getting into different markets where the stakes are much higher and people are willing to pay more for the product. So while I can guarantee, it will continue running at 18%, I do believe that we will continue to see prices higher than the historical average. 
Daniel Hibshman: That's helpful. And then just last for me, just real quick on the modeling. On the R&D, up a decent chunk this quarter in the $600,000 of cloud migrations, or $600,000 of software capitalization. I take it that's all in relation to the cloud migration, and we should model that ticking back down? Or is that investment in other areas? 
Jeffrey Ishmael: No. That's okay, Daniel. That's all tied to the rearchitecture of the platform, which part of that does involve going cloud agnostic, but there's a much broader rearchitecture plan in place. I think what you can probably model going into Q2 is mid-range between what we saw in Q4 and then in Q1. So you're probably going to be in the range of about $500,000. We saw a lot of customer interaction with the product team during the Q1 period. So that drove the loss up a little higher is really gone outside contractors, but we should be close to substantially done by the end of Q2, but we'll have more info on the Q2 call. . 
Operator: Our next question comes from the line of Scott Buck with H.C. Wainwright. 
Scott Buck: I'm curious on the channel partner agreements. What do you guys anticipate being the ramp there in terms of educating those partners and then getting them up to speed on the product? I mean should we expect kind of a 6-month maturity schedule? Or how do you think about it? 
Bryan Lewis: Yes, I think it takes a while to get them up and running. If you think about it, it's like training new salespeople but it also depends on the vertical. So I'd say somebody who is a hardware provider who understands that we'd be a great add on. That's going to be much longer than, say, somebody who is in, say, the automotive space who understands they know that you need to figure out who people are. They already have things that -- part of what you need to do is get a photo copy of a driver's license. So it's a simpler change for them to understand how to do it and what to do it. And of course, the owner of the dealership not wanting to lose money. I think that's a simpler ramp. So I would say, honestly, it depends on the vertical, but we had always anticipated that starting this channel program would be something that would be a late 2024, but really a 2025 revenue initiative. 
Scott Buck: Great. I appreciate that, Bryan. And then I wanted to ask you about the private-public partnerships. The pricing the same there versus your kind of legacy commercial customers? Or are you giving the public a bit of a break? 
Bryan Lewis: I'd say age restricted in general, it is a different price point than other things where losses are huge. But we do work with the municipalities and things, in the cities because it's basically a bulk order, if you will. So to make that work, we will work with the town to get the pricing right for what they want to do. So part of what we look at is we think we're doing a public good. I'd say that the cities agree and we think that's a just and right thing to do. So the pricing is a little bit lower than if we were just selling things one-off. 
Scott Buck: Great. And the sales cycle on those, I mean, similar to what you see in the other industries you're working with or slower given that there's a government component of it? 
Bryan Lewis: I'd say that once you get the right people on board, it happens very quickly. You get a few of the businesses, you get one of the local legislators involved. And generally, the police department is all over it. They see the benefit. Once you get that going, it usually goes pretty quick. 
Operator: Our next question comes from the line of Rudy Kessinger with D.A. Davidson. 
Rudy Kessinger: I believe last quarter you said you were planning on giving annual guidance this quarter. And you gave -- I mean, Jeff, you -- ton of modeling points, except for on revenue. And so I know you also said last quarter you expected SaaS revenue growth to accelerate throughout the year. I guess just what kind of color can you give us for Q2 or the full year revenue. Should we still be thinking SaaS revenue growth accelerates on a year-over-year basis in Q2 versus Q1? I know, Bryan, you talked about a large customer delaying from an April launch. But what color can you give us on the revenue side? 
Bryan Lewis: We still expect SaaS revenue to accelerate throughout the year. As I said at that customer had started, I think it would have been easier to give more color, which we expect to do next time around. Absolutely no reason to think that, that customer is not going to go live, but that would be a substantial customer. So again, nothing really changed in our mindset of SaaS revenue accelerating throughout the year. It's just the timing of it a little bit delayed. But still, we're very confident that we will be net income and EBITDA positive at year-end. 
Rudy Kessinger: Okay. And on the customer who's delayed, you said what you anticipate will prove to be one of your largest customers. What vertical is that? Is that -- I know you caught up the new top 3 customer last quarter, but you said they weren't going to go live until Q4 this year. So it doesn't sound like it's them. But is that a large bank? Is it customer in another vertical, can you share some more about who that is? 
Bryan Lewis: Yes, the nonfinancial vertical that needs to be able to very important that they authenticate people and know who they are. There is also very, very strong NDA in place that we can't really talk about who they are and what they are. 
Rudy Kessinger: Okay. Fair enough. And I guess, if you just look at Q1, you gave the guidance range of $4.3 million to $4.4 million, pretty late in the quarter. just what drove the couple of hundred thousand of upside in revenue. Was it better than expected scan volumes with some of those retailers who are struggling. It sounds like the year-over-year compare improve there? Or was it new projects that came that went live at the end of the quarter? 
Jeffrey Ishmael: Yes. Rudy, at the time we tabled our Q1 guidance, we were anticipating some headwind on some credit members. Then they simply didn't materialize and impact the quarter as I anticipated. That expected impact is also not just being pushed into next quarter, it just didn't materialize. So hence coming in higher than our prior guidance. 
Operator: Our next question comes from the line of Mike Grondahl with Northland Securities. 
Lucas John Horton: This is Luke on for Mike. Just want to touch on -- you guys mentioned a bunch of new wins, some new use cases. It seems like every quarter, there seems to be another one popping up. Just wanted to kind of see where the sort of main focus is by vertical, if there's 1 or 2 or 3 where you guys are really looking to pour some gas on. 
Bryan Lewis: I guess what we focus on is where is there real pain and that generally ties into either monetary or reputational loss. So those are the verticals we look at. So that's everything from anything that has to do with banking, credit, social media those types of things are where people really care. The others are things that where people come to us. And if that's the case, and it's easy and it works, obviously, we're going to take the sale. But I think that we win where people want to make sure that you are who you say you are. Certainly, you've seen plenty enough of potential customers who I don't think really want to know because it costs them revenue. We are targeting the sectors where not using a very accurate tool will cause you to have massive again, financial or reputational loss. So that's really our focus. 
Lucas John Horton: Okay. Got it. And then are new sales hires that are coming in, are these guys vertical specific, like when they get hired, as they're tied to a specific vertical? Or are they kind of covering a couple different? Or how is their focus? 
Bryan Lewis: It kind of depends. We're definitely hiring people who know the identity space. So that means they've been working for our competitors or something. So oftentimes, they come in knowing a sector, so that makes sense to put them on that. We hired 2 new salespeople. We exited 1. The 2 people that we hired, again come from this space. So obviously, they want to be able to jump on areas that they know well and know how to sell into. But again, given that it seems like every time we turn around, we're finding another one of those sectors that's again, financial loss or reputational loss, it's really important. They see what we do, know how we are different than where they used to work, and they're eager to go hit wherever they can. 
Operator: Thank you. And we have reached the end of the question-and-answer session. I'll now turn the call back over to Bryan Lewis for closing remarks. 
Bryan Lewis: So I just want to thank you all for attending the call. We are still super confident about what we do, happy with the trajectory that we are on. and I very much look forward to speaking to you all again in August. So thank you all, and have a great night. 
Operator: And this concludes today's conference, and you may disconnect your lines at this time. Thank you for your participation.